Operator: Hello, and thank you for standing by for Baidu's fourth-quarter and full-year 2013 earnings conference call. (Operator Instructions). Today's conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the meeting over to your host for today's conference, Ms Sharon Ng, Baidu's Senior Manager of Investor Relations. Thank you. Please go ahead.
Sharon Ng: Hello everyone and welcome to Baidu's fourth-quarter and full-year 2013 earnings conference call. Baidu's earnings release was distributed earlier today and you can find a copy on our website as well as on newswire services. Today you will hear from Robin Li, Baidu's Chief Executive Officer and Jennifer Li, Baidu's Chief Financial Officer. After their prepared remarks, Robin and Jennifer will answer your questions. Before we continue, please note that the discussion today will contain forward-looking statements made under the Safe Harbor provisions of the US Private Securities Litigation Reform Act of 1995. Forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from our current expectations. Potential risks and uncertainties include, but are not limited to those outlined in our public filings with the SEC, including our Annual Report on Form 20-F. Baidu does not undertake any obligation to update any forward-looking statements, except as required under applicable law. Our earnings release and this call include discussions of certain un-audited, non-GAAP financial measures. Our press release contains a reconciliation of the un-audited, non-GAAP measures to the unaudited most directly comparable GAAP measures, and is available on our IR website, at ir.baidu.com. As a reminder, this conference is being recorded. In addition, a webcast of this conference call will also be available on Baidu's IR website. I will now turn the call over to Baidu's CEO, Robin Li.
Robin Li: Hello everyone and thanks for joining today's call. 2013 was a milestone year for Baidu, marked by our entry into new areas and significant progress in mobile. We began the year with a lot of hard work to do, but also with some incredible opportunities ahead of us. A seismic industry shift presented us with a rare opportunity and we invested heavily to build out our position at key gateways to the Internet, particularly in mobile. We are pleased with how quickly this investment has gained traction, resulting in a broader and deeper offering that positions us for continued industry leadership. During the year, we demonstrated not only solid top-line growth, but an acceleration in our business. We've showed progress in growing our mobile ecosystem and monetizing the mobile channel. By the end of the year there were 14 Baidu apps with over 100m activated users and as of Q4, mobile accounted for over 20% of our total revenue. At the same time, we are investing heavily in key strategic areas. Search remains our core business and our dominance in both PC and mobile search is unparalleled. But we see tremendous opportunity beyond search, particularly as the Internet continues to disrupt traditional industries and the Internet's role in the real economy continues to expand. We are investing in new areas that capitalize on our unique position as the search leader in China and are very excited about the growth potential. So in addition to search, we are now also strategically focused on the following four areas: one, mobile and cloud; two, location-based services; three, consumer products including gaming, music, online literature and social; four, international operations. We also have invested in entities that are very strong in their respective industries of online travel and online video. We are leveraging our strength in search in each of these areas, all of which represent large and exciting opportunities. And we are confident that the investments we are making will generate significant returns for Baidu in the long run. Now to update you on the latest developments, starting from our core search offering. As of January, research by Analysys International put Baidu's share of combined PC and mobile search traffic in China at 73%. Our unrelenting focus on technology and user experience has made the Baidu brand name synonymous with search and users come to us, irrespective of channel. We view our search capability holistically and we tailor our search results to different devices for users. Equally, on the customer side, Baidu is uniquely positioned to provide cross-channel, end-to-end marketing solutions in ROI and brand building. No other player in the market comes close to this type of integrated offering and we continue to raise the bar. This last year our investments in advanced technologies, such as deep learning and natural-language processing, have brought far-reaching benefits to both users and customers. On the user side, they allow us to deliver more accurate and relevant results, through intuitive input methods, like voice, OCR and image recognition. An example of our image recognition technology is our Baidu Translate app, which enables both image recognition and translation. The updated version of the app enables users to take a photo of an object, have it identified and see results in both Chinese and English. The user response has been great and further demonstrates our world-class capability in artificial intelligence. On the customer side, these technology investments help generate higher click-through rates by improving paid search relevancy, which in turn improves our monetization capability. We've also taken another step in enriching our search results by displaying thumbnail images alongside the title and summary. Currently over 80% of Baidu searches return results with thumbnail images. We've also introduced heat maps, which provide real-time information on congestion levels at points of interest. To give you an example, if a user were to input the query, is the Summer Palace crowded now, Baidu returns a map on the right-hand side with color-coding to indicate congestion levels at this particular Beijing tourist destination. This is a real testament to our strength in big data, including location data, and our powerful data science capabilities. Over the past few quarters, our rollout of commercial knowledge graph, the customized search results for different verticals, continued to enhance the user experience and create superior commercial value for our customers. It now covers six key verticals, online gaming, healthcare, education, financial services, ecommerce and travel. Going forward, in addition to delving deeper into these verticals, we will be looking to expand it into other areas, such as second-hand cars and lifestyle services. As part of our effort to create a safer, higher-quality search experience for users, in Q2 we introduced our Plus V customer verification program and we have since continued to broaden it. As of Q4, nearly all of our online active customers have been Plus V verified. This did mean that some customers who did not qualify for Plus V could not spend with us during Q4, resulting in a decline in overall customer numbers. But the impact will only be short term and we believe our emphasis on customer quality benefits users as well as customers and is ultimately more sustainable. Now, on to developments in our mobile ecosystem. In 2013 we made significant progress in each of our three main focus areas within mobile – mobile search, app distribution and location-based services – and now hold leading positions in each of them. Mobile's contribution to our top line continues to grow and accounts for over 20% of total revenue in Q4 compared to about 10% just two quarters ago. The great majority of this revenue comes from mobile search. And the progress we've made owes a lot to our efforts to educate our customers about mobile and provide them with infrastructure, such as our integrated billing system or tools like site-apps and reporting tools to measure ROI across channels. At the beginning of 2013, our customers were just becoming aware of the mobile search channel and the percentage of them that had mobile-optimized landing pages stood in the low single digits. By the end of the year over 60% of our customers had a mobile-optimized landing page. Other metrics, such as mobile CPC and the portion of mobile revenue from proactive bidding, continue to trend higher, demonstrating the value our customers see in spending on the mobile channel. Organic traffic through our own search app and mobile browser remains the fastest-growing source of mobile search traffic and we are very pleased with the continued traction here. By Q4 our search app had over 400m activated users, up from 330m in the previous quarter. In December we launched version 5.0 of our search app for both Android and the iOS. It was number one in the free tool rankings in the iTunes store after its launch. The updated version generates search speeds 60% higher than its predecessor and features an updated interface and personalized home page. App distribution is another area where we've made huge strides in 2013. According to Analysys research released this week, Baidu and 91 Wireless led the native app distribution market with a 41% share of app distribution. The initial phase of integrating 91 Wireless has gone smoothly. The focus over the coming quarters will be on deepening that integration at the back end, in areas like app search, cloud storage and payment SDK app platforms. On the technology front, we've made great progress in helping users find the apps they're looking for by making the apps much more searchable, including through the introduction of Light Apps. That's great for users and great for developers of less frequently used long-tail apps that have a hard time being discovered in native app stores. Our other flagship mobile product, Baidu Maps, also solidified its leading position and grew as an LBS platform. Baidu Maps is the clear number one in terms of accumulated users, with a 54% share of market according to CNIT. Much of our focus in 2013 was on driving user stickiness by creating a map experience that unlocks rich local services. User engagement with our LBS platforms continued to increase in the fourth quarter and the number of transactions taking place directly on the Baidu platform is growing impressively, whether it's hotel bookings, movie purchases or group buying. Group buying plays an important role in our LBS strategy and we saw group buying transactions on our maps grow over 60% from the third quarter. The addition of Nuomi to our ecosystem brings huge strategic value to our overall e-commerce and LBS offering. We closed our majority investment in Nuomi at the beginning of Q4 and in the current quarter we announced our acquisition of the remaining shares. The integration has gone smoothly so far and full ownership will allow for closer cooperation and deeper integration. We are confident that we will generate strong value from combining Baidu's massive user base and strong distribution capability with Nuomi's expertise in group buying and its sales force focused on local merchants. Looking to our key invested entities, in video we are very happy with iQiyi's progress. According to iResearch, iQiyi plus PPS is number one in mobile by unique users. iQiyi will continue to focus on licensed high-quality content and we will continue to support iQiyi to take advantage of online video's huge long-term monetization prospects. And then in travel, we continue our deep cooperation with Qunar, having kicked off the New Year with our travel vertical partnership. We are very excited by what we can achieve in travel, an industry that continues to grow rapidly in China. To sum up, Q4 was a good end to a transformative year for Baidu. Mobile has now become a significant part of our revenue mix, as well as our user offering, and will become more so as we continue to execute on our strategy. We remain extremely excited by the growth potential in the new areas we've entered and the growing reach and influence of the Internet on the broader economy creates huge opportunity for us. While we are very pleased with the progress we made in 2013, our work is not done and we will continue to invest. We remain vigilant in this rapidly changing environment and we are more energized than ever about capturing the abundant opportunities now opening up before us, building on our existing platforms and deepening the integration of our offering. Our focus on technology and user experience still sets us apart. And we are very proud of the great strides we've made towards our larger vision to build an open, accessible ecosystem where innovation can truly flourish and where developers can connect with users across multiple channels, all with the Baidu platform at its core. We look forward to forging further down that path in 2014. With that, I will now turn the call over to Jennifer for our financial performance in Q4 and the full year.
Jennifer Li: Thanks, Robin. Hello everyone. We were pleased to end another strong year with a quarter of solid revenue growth and the acceleration in our business marks the starting point for a new phase of growth for Baidu. We stand at the forefront of unprecedented opportunity and looking ahead we're very excited about the future. Our strong results and vast future opportunities give us the confidence to continue building our momentum and expand our reach. The important acquisitions we made during 2013 all added to the breadth of our platform and our investments in key areas, especially in mobile, have shown very solid progress. We are committed to continue building the Baidu platform by investing in strategic areas of mobile search and cloud, LBS, consumer products and internationally, as well as important verticals like online video and travel. The Internet ecosystem is very much in a period of transformation. To capture growth in these new areas we're prepared to deploy cash aggressively where necessary while maintaining a disciplined approach. 2014 will be another important year for investment. We do expect to step up spending, particularly in channel and marketing, infrastructure, content and traffic acquisition cost. For 2014, while we expect revenue to accelerate, we do not expect increase in absolute profit. Now, moving on to financials, all monetary amounts are in RMB unless stated otherwise. For the fourth quarter, total revenue were RMB9.5b, representing a 50% increase year over year. Total revenues for the full year 2013 were RMB31.9b, an increase of approximately 43% from 2012. During the fourth quarter, Baidu had approximately 451,000 active online marketing customers, an 11% increase from the corresponding period in 2012 and a 3% decrease from the previous quarter. Revenue per online marketing customers for the fourth quarter was RMB20,900, a 35% increase from the corresponding period in 2012, and an increase of 9% from the previous quarter. For the full year 2013 active online marketing customers increased by 26% and revenue per online marketing customer increased by 13% over the full year 2012 figures. The number of online active marketing customers and revenue per online active customers exclude our group-buying-related business for consistency with prior reporting. Traffic acquisition cost as a component of cost of revenue in Q4 was RMB1.2b or 12.3% of total revenue compared to 9.6% in the corresponding period in 2012 and 11.7% in the third quarter of 2013. Full-year 2013 TAC as a percent of revenue was 11.6%, up from 8.7% for 2012, which primarily reflects increased contextual ads contribution and hao123 promotions through our network. The Baidu Union network continues to be an important driver of Baidu's overall revenue growth. We expect to leverage our network further to extract more growth in the long term. We will manage our network partnerships dynamically and use them to aggressively promote our products. As a result we expect the TAC as a percent of revenues to continue to increase over the near term. Bandwidth and depreciation costs, as a percent of revenues in Q4 were 5.9% and 4.3% respectively compared to 5.3% and 4.9% in the corresponding period in 2012. In 2013 bandwidth and depreciation cost as a percent of revenue increased to 6.1% and 4.6% respectively compared to 4.8% and 4.8% respectively in 2012. The increase in bandwidth cost was mainly due to an increase in network infrastructure, capacity as well as iQiyi. For 2014 we expect to ramp up infrastructure investment and expect higher bandwidth and depreciation costs. Content costs as a component of cost of revenues in Q4 was RMB362m, representing 3.8% of total revenues compared to 1.9% in the corresponding period in 2012. Total content costs for 2013 were RMB830m, representing 2.6% of total revenues, compared to 1% in 2012. This increase was mainly due to iQiyi's increased content cost. Selling and general and administrative expense in Q4 were RMB1.9b, an increase of 135% year over year. Total SG&A expenses for 2013 were RMB5.2b, a 107% increase from 2012, primarily due to an increase in promotional spend for mobile products. In 2014 we will step up sales and marketing spend to drive the installation and usage of Baidu products, particularly in mobile. In Q1 we actively kicked off our marketing efforts. For the Chinese New Year, we tailored our promotion for the holiday by showcasing Baidu Migrate, which leveraged our big data capability through Baidu Maps and promoting train ticket search availability and purchase in our search apps. We also promoted Baidu Mobile Guardian to a vast audience. These efforts are generating good results. We will continue to aggressively promote our brand and products and monitor effectiveness closely. R&D expenses in Q4 were RMB1.3b, an increase of 80% over the corresponding period in 2012. Total R&D expenses for 2013 were RMB4.1b, a 78% increase from 2012, primarily due to an increase in the number of research and development personnel. Share-based compensation expenses, which were allocated to related operating costs and expense line items, increased to aggregate to RMB177m in the fourth quarter from RMB67m in the corresponding period in 2012. SBC expenses for 2013 increased 142% over the 2012 level. SBC increased due to more shares being granted to Baidu employees. Operating profit for Q4 was RMB2.7b, a decrease of 4% over Q4 2012. Operating profit for the full year 2013 increased 1% from 2012. Total headcount including our invested entities as of December 31, 2013 was about 31,700, an increase of 5,300, as compared to the end of last quarter. About 4,000 of this 5,300 was related to acquisitions. Most of our own headcount increase was in R&D. Income tax expenses were RMB339m for the fourth quarter. The effective tax rate for the fourth quarter was 11.2% compared to 16.2% in Q4 2012. In Q4 we benefited from the reversal of a tax provision due to one of our subsidiaries obtaining the key software-enterprise tax license. For the full year our effective tax rate was 15% compared to 13.2% in 2012. For 2014 we expect our effective tax rate to be in the mid to high teens. Net income attributable to Baidu for Q4 was RMB2.8b, a 0.4% decrease from the corresponding period in 2012. Basic and diluted earnings attributable to Baidu per ADS for the fourth quarter amounted to RMB7.92 and RMB7.90 respectively. Net income attributable to Baidu for the full year increased by 0.6%. Net income attributable to Baidu excluding share-based compensation expenses, a non-GAAP measure, for Q4 were RMB3b, a 3% increase year over year. Basic and diluted earnings attributable to Baidu per ADS excluding share-based compensation expenses, both non-GAAP measures, were RMB8.43 and RMB8.40 respectively. Net income attributable to Baidu excluding share-based compensation expenses for the full year increased by 3%. As of December 31, 2013, the Company had cash, cash equivalents and short-term investments of RMB38.4b. Net operating cash inflow and capital expenditure for the fourth quarter were RMB4.1b and RMB961m respectively. Full-year net operating cash inflow and capital expenditures were RMB13.8b and RMB2.8b respectively. In 2014 we plan to step up our network infrastructure and office capacity spend. Now let me provide you with our top-line guidance for the first quarter of 2014. We currently expect total revenues for the first quarter to be between RMB9.24b and RMB9.52b, representing a 54.8% to 59.5% year-over-year increase. Please note, this forecast reflects Baidu's current and preliminary view and it is subject to change. I will now open the call to questions. Operator, please, we're ready to take questions.
Operator: Thank you. The question-and-answer session of this conference call will start in a moment. In order to be fair to all callers who wish to ask questions, we will take one question at a time from each caller. If you have more than one question, please request to join the question queue again after your first question has been addressed. Your first question comes from the line of Dick Wei of Credit Suisse. Please ask your question.
Dick Wei – Credit Suisse: Hi. Good morning. Thank you for taking my questions and congrats on the good numbers and guidance. I think it's a good strategy for investing into the fast-growing mobile Internet market. I just want to follow up on Jennifer's comments on the no absolute profit growth for the year. I suppose that implies probably around kind of mid-20s, like 25% or so operating margins for 2014. And I think that's maybe -- I look at it as like RMB700m additional spending maybe for that 10% operating margin decline. So I wonder what are the big buckets of spending for those RMB 700m? I suppose maybe iQiyi, you may add like RMB100m or so for contents. But maybe if you can help us understand a bit more about what the spending, the big buckets are, that would be great. Thank you very much.
Jennifer Li: Thank you, Dick. Yes, I think that in the prepared remarks I tried to give you some indication as you are looking at our business into 2014. We are very pleased with the progress we made in 2013. We're on a very strong momentum. As I mentioned, we expect our revenue to continue to accelerate. And at the same time 2014 will continue to be a very important year of investment for us. The key spending I would say is still in the most strategically important areas for us. As I mentioned, and Robin also mentioned, these strategically important areas are mobile search and cloud, location-based services, consumer products and our international operations. Key verticals, like online video, is important and will continue to be an investment driver for us as well. In terms of areas of spend, particularly in terms of cost buckets, you should expect very aggressive sales and marketing spend going into 2014. As you see, in 2013 we established pretty solid positions for our mobile search and mobile map products. Going into 2014 we have new products that's in the pipeline and we'll kick in full gear to promote these mobile products, mobile products such as Mobile Assistant, Mobile Guardian as well as location-based services embedded on top of our search. So most of the spend will be for these new products and at the same time we'll continue to expand infrastructure, expand on content costs for iQiyi and also take advantage of our network, our Union network, to continue to promote our products. So these key cost items, as I've identified early, would be the important cost items as you look at 2014. Next question please.
Operator: Thank you. Your next question is from the line of Phillip Wan of Morgan Stanley. Please ask your question.
Philip Wan – Morgan Stanley: Hi. Thanks for taking my question. My question is also related to the margins. Looking in Q4, comparing your EBITDA and -- adjusted EBITDA and operating profit, the adjusted EBITDA actually delivered a solid growth from last year. Could you share with us are you incurring any one-off cost or any amortization expense related to your acquisition and how should we look at that going forward? Thank you.
Jennifer Li: Yes, hi Philip. You are aware in Q4 we completed the investment into 91 Wireless as well as part of Nuomi. And for these new investments there are incremental amortization of intangible-related expenses that's embedded in Q4. As you look out for 2014, for each quarter because of these new investment entities you should expect between RMB80m to RMB100m addition on a quarterly basis related to intangible amortization.
Philip Wan – Morgan Stanley: Thank you.
Operator: Thank you. Your next question comes from the line of Cynthia Meng of Jeffferies. Please ask your question.
Cynthia Meng – Jefferies & Co.: Thank you, management. My question is on the mobile search pricing trend. Can you give us some color on the mobile CPC versus PC CPC trend and where do you see this developing? Thank you.
Robin Li: Yes, the mobile search trend has been very exciting for us. Traffic is growing very quickly and monetization is catching up. The CPC right now for mobile is roughly 60% of the PC CPC. That has been increasing. So in Q3 of last year it was about 55% of the PC CPC; last quarter it reached 60%. And we expect this will continue to go up.
Operator: Thank you. Your next question comes from the line of Jiong Shao of Macquarie. Please ask your question.
Jiong Shao – Macquarie Research: Thank you for taking my question. First I want to clarify what Jennifer mentioned on the margins earlier. I think last year your operating margin was down about 14 to 15 points year over year. And based on what you have said on the call earlier I just wanted to make sure my numbers are right. It seems to me you are indicating for 2014 the operating margin should be down about 10 to 12 points. My question is actually for Robin. Robin, you mentioned earlier that this year Baidu is going to be more aggressive in some of the verticals such as used cars and some of the other areas. Could you elaborate on some of the top two, three key verticals you'll try to expand into? And could you also talk about, from Baidu's perspective, are we going to do that on our own or we're going to partner with some of the players like you have in the real estate business? Thank you.
Robin Li: Yes. There are quite a number of important verticals for us. As you know, healthcare, education are very important for Baidu's current revenue mix and we see a lot of disruption going forward in this area. So we will continue to push further down the value chain in verticals like this. We will continue to invest in verticals like travel and online video as we have been doing before and there are also newer verticals that we pay attention to, such as finance. So there are lots of things, lots of verticals we pay attention to and are ready to invest. Whether that's through acquisition or organic growth really depends on what we can find on the market. If we can find the right candidate on the market, certainly acquisition would be a faster way to get there. But if we cannot we are prepared to develop that organically.
Operator: Thank you. Your next question comes from the line of Chi Tsang of HSBC. Please ask your question.
Chi Tsang – HSBC: Good morning. Thank you very much. I was wondering about your 1Q guidance. Obviously the numbers are very strong. Can you help us understand what is actually driving the very strong revenue guidance for the first quarter please? Thank you very much.
Jennifer Li: Yes. As we mentioned earlier, we see our own business performing very solidly and overall we're building great momentum. Our core business is accelerating and I think on top of that of course sequentially we also had our new acquired entities that's helping the overall picture. So we're very confident as we're going into 2014 that we are very pleased with the progress that we're making on the top line growth.
Operator: Thank you. Your next question comes from the line of Alex Yao of JPMorgan. Please ask your question.
Alex Yao – JPMorgan: Hi. Good morning everyone. Thank you for taking my question. I have a quick question on the LBS monetization strategy. So clearly Baidu Maps has a very strong usage in China's mobile Internet users. And you guys have been integrating a lot of online-to-offline activities into the map product such as group buy, taxi-hailing, hotel etc. Is there any monetization on these activities currently? And going forward what could be the possible revenue model that drives this part of the monetization? Thank you.
Robin Li: Yes, that's a good question. We are obviously very bullish on the future of LBS maps as more of the user-front product has attracted lots of users and people rely on us to find location-sensitive information. Based on that -- actually not just that, we also get a lot of queries and requests from mobile search that's location sensitive. In the mobile age people are expecting a closed loop from a query, be it from map or mobile search, to the delivery of the services. So we are trying to help users to achieve that. As you mentioned, group buy, hotel booking etc. are very important areas that we are working on. Especially group buy; it's a sort of proven model that consumers love and merchants love, and going forward this area will continue to grow at a very rapid rate. I mentioned during the prepared remarks the transaction volume grew by 60% quarter on quarter for group buy that went through the Baidu channel. And for the rest of the year and maybe many years down the road we do expect very fast growth in group buy activities from the Baidu LBS channel. Some kind of take rate will be necessary and realistic down the road. But right now I think the focus is providing the best experience and providing a closed loop from query to service delivery.
Alex Yao – JPMorgan: Thank you.
Operator: Thank you. Your next question comes from the line of Alicia Yap of Barclays Capital. Please ask your question.
Alicia Yap – Barclays Capital: Hi. Good morning Robin and Jennifer. Thanks for taking my questions. My question is regarding your 20% of the mobile revenue, if you could share with us some of the breakdown. I understand Robin said that majority of that is core-search related. But if we can have -- like give us some color in terms of what percent from the iQiyi mobile contributions and also the 91 Wireless contributions. And I think I have one follow-up with the spending in 4Q and if Jennifer can break down some of the sales and marketing line spending because it is a big step up. Just how much of that is related to pre-installation and how much is offline campaigns? Thank you.
Jennifer Li: Hi Alicia. On your first question in terms of the mobile contribution mix, we are seeing mobile revenue contributing on the core business as well as our invested entities. Baidu's main core business is -- without that the overall mobile contribution wouldn't be this magnificent. So Baidu's own business is really pushing forward on this mobile front. iQiyi is making great progress. 91 Wireless, you can almost think all 100% of that is mobile. But I think from a scale perspective there is some publicly available information. You have the idea of the contribution of our 91 Wireless to the overall picture. So the mobile revenue, the mix, is predominantly Baidu and it's predominantly search-related. So to your second question, with regards to Q4 sales and marketing expenses, there is a step up. I would say most of the step-up is related to promotion related to our mobile products. And then there is also a part of that step-up related to consolidation effects because of the acquisitions. For the promotions for our products, most of that is spent on pre-installation. We do have some offline campaigns also, such as an offline campaign for our map products. But I would say most of that promotional spend-up for the Baidu Prime business is for installation purposes.
Operator: Thank you. Your next question comes from the line of Ella Ji of Oppenheimer. Please ask your question.
Ella Ji – Oppenheimer: Thank you for taking my question and congratulations on a strong quarter. Can management share your thoughts of acquisitions for 2014 and what your pipeline looks like? And what are the areas that you will be interested in making acquisitions? Thank you.
Robin Li: Ella, as I said before, our strategy is to grow the business organically. Whenever there is an opportunity to do acquisition to buy us either time or resources or talent, we will be open for that. But the main strategy is to grow the business organically. The market has been quite hot and we are making aggressive investments, as we mentioned before. So to me, as CEO, I don't really try to give you indications on which area I would like to acquire. It really depends on the market condition, the right candidates and our resources and current positions, etc. I have indicated that the areas -- in addition to search, I have indicated the four areas that we are strategically focused on are mobile, LBS, consumer products, and international operations.
Operator: Thank you. Your next question comes from the line of Wendy Huang of SCB. Please ask your question.
Wendy Huang – Standard Chartered Bank: Thank you. I think with your 2014 margin guidance, so by the end of 2014, we probably will see OP margin to be 30 percentage points lower than your historical peak level. So I just wonder how shall we look at your long-term margin potential. And what are the key factors we should bear in mind in assessing your long-term margin? Thank you.
Robin Li: Well, when you talk about long-term, let's not just focus on this year. Maybe several years, three or five years down the road when you look at our revenue scale, we expect the margin level to be similar to other Internet companies at that kind of revenue level.
Operator: Thank you. Your next question comes from the line of Gene Munster of Pipper Jaffray. Please ask your question.
Gene Munster – Piper Jaffray: Good morning and I'll add my congratulations. About a year ago, there was more talk about competition and market share shift and that has really died down. I just kind of want to get your take from a competitive standpoint how you see the landscape progressing and maybe what you are doing. I guess you've outlined some investment phases but how we should think about the competitive side, which I think, this was rarely talked about in the past year going forward. Thank you.
Robin Li: Hi, Gene. I think that the main focus for us is to capture the vast opportunities the Chinese Internet market presented to us. Yes, it's a very competitive market, but it is also fast-growing and there are lots of opportunities. We pretty much focused on innovation to differentiate our product through better user experience, you know, better technology, that kind of thing. The market is shifting very, very quickly. A strong competitor today may not be that strong going forward. A weak competitor may become very strong in a couple of quarters down the road. So we're pretty much focused on building our core technology platform and expand our reach to areas that's close to search. That is how we think about competition. But more importantly, like I said before, we see a lot of opportunities. The Chinese economy is different from those in the developed world in the sense that almost virtually for all verticals, traditional players are not very competitive. There's lots of room for us to take initiative to do more than what the Internet companies in the US can do. And we see lots of room for growth in those fronts.
Gene Munster – Piper Jaffray: Great. Thank you.
Operator: Thank you. Your next question comes from the line of Eddie Leung of Merrill Lynch. Please ask your question.
Eddie Leung – Bank of America-Merrill Lynch: Hi, good morning. Thank you for taking my questions. Two questions. The first one is about your business seasonality going forward. Given all these expansion into new business, including some of the acquisitions, how should we look at your seasonality throughout the year in the future years? I suppose the first quarter 2014, there could be some impact from acquisitions. But talking about a couple of years later, how should we see the seasonality? And then secondly, about your PC search business, I'm just wondering after the launch of your integrated bidding system, how should we be looking at the growth of your PC search business? Are we still seeing some revenue growth from that area? And if so, what are the key drivers? Thanks.
Jennifer Li: Hi, Eddie. On your first question, with regards to seasonality, Q1 will continue to be among the four quarters of the year, the most -- the quarter with the strongest seasonality. The Chinese New Year does affect business activities and online activities. But what we are seeing is the pick-up in mobile, it actually is becoming more and more, I would say, people access to the Internet without having to sit down in front of a desk or they can access the Internet on the go, that softens the seasonality. So the seasonality is over time, slowly migrating. But still, you know, I think looking at the overall people's activity, Q1 will continue to be the strongest seasonal quarter for the year. And you should expect, you know, a kind of step up from Q1 and relatively stable Q2 and Q4 quarters.
Robin Li: And on the PC search revenue, yes, it is still growing. It's largely driven by improvement in relevancy of our sponsored listings. We have very good technology to identify the right query, the right customers and we find ways to make the match better. So over the past few quarters, we are seeing increased click through rates, include -- increased number of clicks and things like that. So we do see room to improve in the PC search front too. But again, mobile is the much larger driver and we see much bigger opportunities in the mobile front.
Jennifer Li: I think, in that regard, Eddie, we do look at our business holistically. The integrated bidding platform that you mentioned really can help us holistically approach our users and help our customers with more data points to drive better ROIs. And so it's actually an advantage that with mobile and with a very strong PC base, we can deliver better ROIs for our customers and improve our business. And that's the fundamental driver for our business. So the key is you know, not to really separately look at PC. It's really who are generating one data base for us and it is one technology and we are deploying. And that is the whole business -- the overall business we are looking at.
Eddie Leung – Bank of America-Merrill Lynch: That's very helpful. Thank you, Robin and Jennifer.
Operator: Thank you. Your next question comes from the line of Piyush Mubayi of Goldman Sachs. Please ask your question.
Piyush Mubayi – Goldman Sachs: Thank you for the opportunity. Could I just ask what the split between organic and inorganic revenue growth was for the fourth quarter as well as for the first quarter?
Jennifer Li: Predominantly, as we mentioned consistently, our revenue is made up of organic revenue base. And I think some of the factors that got into Q4, one consistent is you might say traffic acquisition related cost, and that kind of part of the revenue is acquired revenue that hasn't really changed much. What has been driving the contextual ads -- the traffic acquisition cost is our contextual business and that is an integral part of the overall technology driving advertising to our Union sites. And these are incremental revenue for us and that has been going on for a few years. Incrementally in Q4, compared to Q3, we do have acquisitions, new acquisitions that helped a bit on the top line. As I mentioned earlier, with already available public information, you should have an idea of this kind of addition, how that has helped. Overall, it is very, very small compared to our base and it should be -- I think you know it's low single digit kind of contribution.
Robin Li: For the second question, it's not clear to me. Were you asking about the mobile revenue percentage? We already said it's over 20%.
Piyush Mubayi – Goldman Sachs: No, I was asking about mobile search specifically. So that would be excluding anything on the other side, it's excluding 91 Wireless, excluding Qunar --
Jennifer Li: Got you. That's very consistent with what we're saying, about, you know, what we have disclosed, that predominantly of that 20% is driven by our main search business.
Piyush Mubayi – Goldman Sachs: All right. Thank you very much.
Operator: Thank you. Your next question comes from the line of Zhou Huang of Nomura. Please ask your question.
Zhou Huang – Nomura: Good morning. Thanks for taking my questions. My question is if you look the organic traffic as a percentage of total traffic on mobile versus that on PC, which has higher portion of organic traffic. And also what is mobile TAC ratio versus PC TAC ratio? Is it higher or lower? Thank you.
Robin Li: Right now, the percentage for organic traffic is higher on PC. Because the early nature of mobile search, consumers used to start from certain kind of search button in all kinds of browsers or other places. So we -- that is part of the investment we are making. We try to pre-install our search app. We try to partner with third party browsers and other Union members for them to promote the Baidu Search. So going forward, we would expect that the percentage of organic traffic on mobile to continue to improve. I already said this during the prepared remarks that the organic traffic for mobile has been the fastest growing segment of the overall mobile search traffic.
Jennifer Li: And at the same time, while we are continuing to generate very strong mobile revenue growth, the mobile related TAC is really a very, very small component of our traffic acquisition cost. As Robin just mentioned, we are growing faster, to grow our own mobile apps and our own mobile browsers. And the traffic acquisition cost related to mobile search is very minimal.
Zhou Huang – Nomura: Understood. Thank you very much.
Operator: Thank you. Your next question comes from the line of Muzhi Li of Citigroup. Please ask your question.
Muzhi Li – Citigroup: Hi, good morning. Thanks for taking my questions. Can the management briefly discuss the customer -- the total customer number decline quarter over quarter for the second consecutive quarter already? So what is the main reason and the –
Jennifer Li: Okay, hello. You kind of break up there but I understand your question. The customer accounts went down. We mentioned during earlier, in the prepared remarks that we continue to broaden our Plus V customer verification program. And this is the program that we kicked off in Q2 and we continued to broaden that in Q4. For this effort, we wanted to make sure that we review our customer and ensure the customer base is high quality. And we wanted to make sure that through Plus V verification, our customers are solid and our users get the high quality search results. And this effort is ongoing throughout Q3 and Q4. And for those customers who don't get the Plus V verification, they don't get to spend in Q4. So that is the result. But as we mentioned, we see this as short term. And overall, it is building a sustainable, healthy customer base for long-term growth. And so this I would say, is actually, something good that's going on.
Muzhi Li – Citigroup: Thank you very much. And also can the management talk about what percentage of these customers are conducting mobile marketing services on Baidu? Thank you.
Robin Li: I don't have the exact percentage at hand. But I think it's a very super majority of that. Customers do have the option to opt out from mobile. But I think most of them choose to promote their products through both channels.
Muzhi Li – Citigroup: Thank you very much.
Operator: Thank you. Your next question comes from the line of Zhao Ming of 86 Research. Please ask your question.
Ming Zhao – 86Research: Thank you. I have two questions. One is a big picture question; one is a specific product. So the big picture question is, Robin, as you have seen that Tencent and Alibaba, have invested and partnered with a lot of companies. Those kind of -- if you will, the families are getting bigger and bigger. So I want to get your view on those competitors. Do they -- do you think you would do the same thing? Do they give you any pressure? Because in the past your acquisition was mostly, getting the controlling stake in the companies and not the minority stakes. So in this kind of environment, what is your latest thought on that? And my specific question on product is the Light Apps. You've talked about that a lot but we haven't seen that as we use the Baidu app. So what is the update on that? Thank you.
Robin Li: Yes, on the partnership and investment question, you are right. We have kind of a different style when looking at those partner opportunities. We tend to take controlling interest for acquisition so that the real synergy can be realized and fuller and tighter integration can be implemented. We think most of the synergies can be fully realized through a tight integration. That is why you see the acquisition of PPS, 91 Wireless and Nuomi. And we are very happy about the integration progress so far. On those kind of partnership deals or investment deals, we will be open to that. But we do not think a minority investment or a likely partner would really make that much difference. Those companies are still independent companies. They have their own shareholder base and they will make independent decisions going forward. So we will do necessary partnerships with the right commercial collaboration, but we are not that interested in pure minority stake investments. On the Light App question, it is a brand new schema for mobile search or mobile app distribution. It will take some time to make this ecosystem strong and healthy. But so far, we are happy about the progress. Every day, we now deliver about 5m Light App distribution. And sometimes, you may not notice that but it is already there. When you search for either calendar or you know, weather, those kinds of things, the top results are Light Apps.
Operator: Thank you. Your next question comes from the line of Thomas Chong of BOCI. Please ask your question.
Thomas Chong – BOCI: Hi. Good morning, Robin and Jennifer. I have a quick question about the mobile revenue contribution. Given the strong momentum we see in the past two quarters from 10% to 20% in the fourth quarter, how should we think about the mobile contribution in 2014? Should we expect the incremental quarterly contributions to ramp up similar to the past two quarters? Thanks.
Robin Li: Well, we do not want to make a linear progression on the mobile revenue contribution. The real focus for this year on mobile search is about user and user experience and traffic. We do expect the mobile traffic to surpass PC traffic sometime this year and our focus will be still on delivering the best user experience for mobile. I think monetization will follow naturally.
Thomas Chong – BOCI: Thanks, Robin.
Operator: Thank you. Your next question comes from the line of Wendy Huang of SCB. Please ask your question.
Wendy Huang – Standard Chartered Bank: Thank you. I have some follow-up questions. Number one is when should we actually expect the mobile search traffic to surpass that of PC? Is it likely to be in 2014? And secondly, you mentioned that international operation will be one of the strategic investment areas. So I recall that last time, you also actually tried to expand to Japan. So what will you do differently in the new round of international expansion? And also, could you give more color in what specific areas that you are going to expand overseas? And lastly, on the -- some wealth management product that you are selling on a platform, how should we look at the balance sheet and also the P&L impact from this new business in the near term and the long-term?
Robin Li: Wendy, I kind of answered that question during the last question. I said mobile search traffic will surpass that of PC sometime this year. I will ask Jennifer to answer the rest of the question.
Jennifer Li: Yes. International efforts is obviously long-term for us. I think overall, not only we see great opportunities in China, we can leverage our technical strength and also embrace the mobile opportunities throughout the world. So as we look at international markets, we will experiment in new market segments through different kind of products. And you know, that is with the perspective of longer term. On your third question, with regards to financial services, we have -- we see financial services as one of the verticals. And we have already demonstrated the tremendous distribution capabilities through some initial product launches. At this point, that service we provide is not taking credit exposures and so I do not see that it is having balance sheet or P&L impact at this point. Mostly, it is also, I think, getting into the distribution capabilities for traditional business and that really shows the power of the Internet.
Wendy Huang – Standard Chartered Bank: Thank you.
Operator: Thank you. Ladies and gentlemen, we are now approaching the end of the conference call. I will now turn the call over to Baidu's chief executive officer, Mr. Robin Li, for his closing remarks.
Robin Li: Once again, thank you for joining us today, and please do not hesitate to contact us if you have any further questions.